Operator: Good morning. My name is Megan, and I'll be your conference facilitator today. Thank you for standing by, and welcome to the Janus Henderson Group Second Quarter 2024 Results Briefing. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer period. [Operator Instructions]. In today's conference call, certain matters discussed may constitute forward-looking statements. Actual results could differ materially from those predicted in the forward-looking statements due to a number of factors, including, but not limited to, those described in the forward-looking statements in the Risks Factors section of the company's most recent Form 10-K and other more recent filings made in the SEC. Janus Henderson assumes no obligation to update any forward-looking statements made during the call. Thank you. Now it is my pleasure to introduce Ali Dibadj, Chief Executive Officer of Janus Henderson. Mr. Dibadj, you may begin your conference.
Ali Dibadj : Welcome, everyone, and thank you for joining us today on Janus Henderson's second quarter 2024 earnings call. I'm Ali Dibadj and joined by our CFO, Roger Thompson. In today's call, I'll provide some thoughts on the quarter before handing it over to Roger to run through more details. After Roger's comments, I'll provide an update on our strategic initiatives, brand strength and positioning and our progress towards delivering consistent results over time. So I'll take your questions following those prepared remarks. Turning to Slide 2. Despite a persistent unsettled macro backdrop, market gains, continued alpha generation provided by our world-class investment teams, the exceptional services provided by our client teams and the productivity and execution of our operations and support teams in technologies, operations, legal, finance, risk and compliance, human capital, marketing and other functions, again enabled Janus Henderson to deliver a good set of quarterly results. Investment performance is consistently solid. We believe 63% of assets beating with benchmarks on a 1, 3, 5 and 10-year basis. Assets under management increased 3% to $361.4 billion, which is the highest quarterly AUM figure in over two years and 12% higher compared to a year ago. Net flows were positive $1.7 billion, improvement in net flows came from our intermediary channel and the institutional channel, which benefited from over 10 distinct mandate funding ranging from $100 million to $400 million, illustrating our efforts to grow a broad range of client sizes for our institutional business. We are encouraged by the net inflows in the quarter, recall that we previously said that intermittent quarters of neutral to positive net flows would be an indication that our strategic plan is starting to bear fruit. Net inflows marked our second quarter out of the last six with positive flows, demonstrating tangible improvement toward our aspiration of delivering consistent organic growth over the long term. Our financial results remain solid, positive markets, net inflows, outperformance delivered by our investment teams plus expense management and increased productivity resulted in adjusted diluted EPS of $0.85, a 37% increase compared to the same period a year ago. Our financial performance and a strong balance sheet continue to provide us the flexibility to invest in the business, both organically and inorganically and return cash to shareholders. In summary, while there's always work to do, the second quarter demonstrates we are squarely on the path to delivering consistent results for the long term. Investment performance and financial results are strong. Net inflows reflect areas of momentum in our business. We have a strong and stable balance sheet and each person at Janus Henderson individually and collectively continues to execute on our strategy. I'll now turn the call over to Roger to run you through the detailed financial results.
Roger Thompson : Thanks, Ali, and thank you, everyone, for joining us on the call today. Starting on Slide 3 and investment performance. As Ali mentioned, investment performance versus benchmark remained solid with more than 60% of aggregate AUM beating their respective benchmarks over all time periods. Looking at further detail, at least half of each capabilities AUM is ahead of benchmark over all time periods, reflecting consistent investment performance across time periods and capabilities. Overall, investment performance compared to peers is competitive with almost three quarters of AUM in top two Morningstar quartiles over the 1, 3, 5 and 10-year time periods. Slide 4 shows total company flows by quarter. As Ali mentioned, net inflows of $1.7 billion for the quarter compared to $3 billion of net outflows last quarter. We're pleased with the results and believe it shows that we're making progress towards our goal of delivering consistent organic growth over time. On Slide 5, a flows by client type. Second quarter net inflows for the intermediary channel were positive $2.4 billion, equating to a 5% annual organic growth rate. The quarterly flow results were supported by a 45% increase in gross sales year-over-year and was the best quarterly gross sales figure in over two years. The U.S. intermediary channel was positive for the fourth consecutive quarter with net inflows in several strategies, including most of the active ETFs, multisector credit, international alpha and U.S. Mid-Cap growth. As we've spoken about previously, U.S. intermediary is a key initiative under our Protect & Grow strategic pillar. We're pleased by the results for the quarter and that we're gaining market share. Under the Amplify strategic pillar, we've talked about amplifying our investment and client service strengths using various means, including vehicles in which to deliver products. In addition to ETFs flows into CITs, SMAs and our biotech innovation hedge fund were positive in the second quarter in this channel. Moving to the EMEA and Latin American intermediary segment. Here, spoken previously about expanding our strategic efforts. In the region, net flows improved for the third consecutive quarter, finishing slightly positive this quarter, and we increased market share. Similar to the first quarter, both Continental Europe and Latin America delivered positive flows, while the UK remained in net outflows. Institutional net inflows were positive $200 million, which improved meaningfully compared to the $3.1 billion of net outflows in the previous quarter. Reiterating Ali's commentary, institutional net flows were aided by over 10 distinct fundings of between $100 million and $400 million, demonstrating that our efforts to fill the missing middle, as we call it, in our institutional client base are beginning to bear fruit. Notably, each of these fundings went into a different strategy spanning all capabilities. We continue to work to create a sustainable pipeline. We're pleased with the work our distribution team is doing, and we're encouraged by the increasing number of opportunities across all of our regions. But the continued development and maturation of the pipeline will still take time. Net outflows for the self-directed channel, which includes direct and supermarket investors were flat to the prior quarter at $900 million. Slide 6 is flows in the quarter by capability. Equity flows were negative $1.4 billion compared to negative $1.1 billion in the first quarter. Pleasingly, in a challenging environment for active equities across all regions, we continue to take equity market share. Net inflows for fixed income were $3.3 billion. Several strategies contributed to positive fixed income flows in the intermediary channel led by fixed income ETFs, which had positive flows of $4.1 billion in the quarter, led by flows into JAAA, but also including $600 million into the JBBB CLO and $100 million into JSI to securitized income ETF, both at a fee rate in the mid- to high 40s. Other strategies contributing to the positive flows were multi-sector credit, Global Buy and Maintain Credit and Australian Tactical Income and offsetting net inflows were net outflows in the lower fee institutional channel. Total net outflows for the multi-asset capability were $800 million. And finally, net inflows in the alternatives capability was $600 million, driven by institutional fundings in absolute return, global commodity enhanced index and multi-strategy. Moving onto the financials. Slide 7 is our U.S. GAAP statement of income. And on Slide 8, we explain the adjusted financial results. Adjusted operating results improved compared to the prior quarter and the prior year. The improvement was primarily due to higher average AUM, good investment performance, generating higher performance fees and strong operating leverage and lower LTI expense. Adjusted operating income improved 28% and EPS improved 20% quarter-over-quarter, improvements over a year ago were even stronger, with operating income and EPS, up 36% and 37%, respectively. Looking at the detail. Adjusted revenue increased 7% compared to the prior quarter and 14% compared to the prior year, primarily due to higher management fees and higher AUM and improved seasonal SICAV and UK OEIC performance fees. Net management fee margin declined slightly from the prior quarter, but more importantly, was unchanged year-on-year at 48.5 basis points. Our roughly stable net management fee margin continues to be a differentiator compared to many peers considering fee pressures experienced in the asset management industry. While we're not immune to these pressures, we do see our competitively resilient fee rate as a differentiator given the mix of capabilities and channels where we're seeing success and our strong investment performance. Continuing on to expenses. Adjusted operating expenses in the second quarter declined 2% to $294 million. Adjusted LTI declined nearly 30% compared to the prior quarter, largely due to seasonal payroll taxes driven by annual vestings in the prior quarter. And in the appendix, we've provided you with the usual table on the expected future amortization of existing grants for to use in your model. The second quarter adjusted comp-to-revenue ratio declined to 42.8% from 48.2% in the seasonally higher first quarter and declined from 45.6% year-over-year demonstrating the leverage in our business. Our 2024 expectation of an adjusted compensation ratio range of 43% to 45% remains unchanged. Adjusted non-comp operating expenses increased 5% compared to the prior quarter, primarily due to higher G&A expenses and increased marketing and advertising expenses. Compared to the prior year, adjusted non-comp operating expenses were flat, reflecting our disciplined expense management and our commitment to operate more efficiently while reinvesting in the business. Similar to my comments last quarter, we still anticipate adjusted non-compensation costs to accelerate in the second half of the year and resulted in an annual growth of mid to high single digits compared to the prior year. We expect non-compensation expenses to increase as a result of investments supporting areas of opportunity in our business. Examples being higher expected marketing, advertising and T&E. We also expect higher operational expenses, such as increased investment administration expenses and the addition of NBK and Tabula expenses in the second half of the year. As I said earlier, adjusted operating income increased 28% compared to the prior quarter and increased 36% over the same period a year ago to $165 million. Compared to the prior year, operating income increased $43 million on $56 million of incremental revenue. Our second quarter adjusted operating margin was 36%, an increase of 570 basis points from a year ago, demonstrating the operating leverage in our business. Adjusted diluted EPS was $0.85, up 20% from the prior quarter and up nearly 40% from the second quarter 2023. The increase in adjusted diluted EPS primarily reflects higher operating income. Skipping over to Slide 9 and moving to Slide 10 and a look at our liquidity profile. Capital position remained strong as we generated over $220 million in cash flows from operations in the second quarter. Cash and cash equivalents were $985 million as of the June 30, an increase of 9% and 2% from the prior quarter and prior year respectively. During the quarter, we funded our quarterly dividend and repurchased approximately 1 million shares for $34 million. The board has also declared a $0.39 per share dividend to be paid on the August 12 to shareholders of record as of the August 12. Slide 11 looks in more detail as our consistent return of capital to shareholders. We've maintained a healthy quarterly dividend and have reduced shares outstanding by over 20% since 2018. During the first half of 2024, we returned $241 million including $115 million by share repurchases. As we've communicated previously, our return of capital reflects our positive financial outlook, our cash flow and a strong and stable balance sheet, but it does not impede our ability buy, build or partner should opportunities arrive to diversify where clients give us the right to win. With that, I'd like to turn it back over to Ali for an update on our strategic progress.
Ali Dibadj : Thanks, Roger. Turning to Slide 12, a reminder of our three strategic pillars of Protect & Grow our core businesses, amplify our strength, not fully leveraged and diversify where clients give us the right to win. We are in the execution phase, and we believe this strategic vision will lead to consistent organic growth over time. In Protect & Grow, we've talked previously about the importance of protecting and growing our U.S. intermediary business and the progress we've made in capturing market share. We are now working to leverage the strategic plan to drive change and improve results in the EMEA and Latin American intermediary channels. As Roger discussed, trends across our global intermediary businesses are encouraging with more work to do to deliver steady results. Within Amplify, we've talked about our institutional and diversified alternative businesses and our product development and expansion efforts such as our build-out of the active ETFs in the U.S. and now outside of the U.S. with our acquisition of Tabula Investment Management, which closed on July 1. We believe the acquisition of Tabula allows Janus Henderson early access to growing European ETF market and build on our successful suite of active ETFs in the U.S. We believe it will also expand our reach into key growth markets in Latin America, the Middle East and APAC where there's rising demand for use of ETFs. While retaining all existing Tabula products, we anticipate launching a range of new active products across equities and fixed-income strategies beginning in the second half of this year. Under Diversify, we continue to look actively to buy, build or partner to diversify where give us the right to win. We've talked previously about our joint venture, Privacore, formed in June 2023, Privacore seeks to take advantage of and be a leader in the democratization of private alternatives into the retail channel. Privacore assembled a highly experienced team within the market placing products, has probably launched new alternative products, including interval and tender offer funds and continues to have active conversations with high-quality asset managers interested in partnering with Privacore. Last quarter, we announced a strategic partnership with National Bank of Kuwait Groups and NBK Wealth, and the pending acquisition of their private investment team, NBK Capital Partners, which allows Janus Henderson an early entry into the rapidly expanding emerging markets, private capital space. The M&A pipeline is active for Janus Henderson, Privacore Capital, Tabula and NBK are only the beginning of what we expect to be more well thought out acquisitions and partnerships of varying sizes to meet our clients' needs and to support the growth of the firm. As I said previously, we will be disciplined in identifying where to buy, build or partner, finding the right teams with the right product, at the right price for our clients, shareholders and employees. Moving to Slide 13, for an update on the including trends we're seeing in strengthening our brand and positioning Janus Henderson as a trusted financial partner. In early 2023, we launched a national brand campaign in the U.S., which was something new for Janus Henderson and a big change from what we've done in the past. Brand matters. And the data suggests that there are a lot of great funds out there, but if the brand isn't relevant, it's difficult to capture flows. We're very pleased that a few recent external surveys seem to confirm that Janus Henderson is making progress in strengthening its brand profile. First is a Broadridge fund brand, 50 Global survey, asset manager brand strength. Our global brand rank climbed to 16, improving by 7 spots. For additional context, Janus Henderson made the top 25 for the first time in the last year survey #23, so it's been a significant climb for us in a relatively short period of time. Second, specific to our institutional business was a global institutional NMG consulting reports. Here we moved up 17 spots from last year to a global brand rank of 52 among 890 managers ranking the top 6% of asset managers in the survey. Lastly is a Citywire Pro Buyer report, which is a client experience and satisfaction survey from asset allocators and fund buyers in the U.S. Janus Henderson showed strong improvement overall, earning higher year-over-year scores in 15 of 16 categories. Overall, some of the areas where Janus Henderson did well across all these reports included accessibility of portfolio managers, knowledge of the markets, client interactions and transparency. I want to thank my colleagues from across the firm for their collective efforts around strengthening our brand profile. It's a great example of one of our core firm values together we win, which you might recall, we articulated as part of our mission values and purpose launched just about a year ago. We'll continue to invest in our brand globally to raise our profile, drive our business forward and communicate our purpose of investing in our brighter future together for the over 60 million people globally who directly or indirectly rely on Janus Henderson for their financial well-being. Slide 14, highlights some of the progress Janus Henderson is making towards delivering results more consistently for those clients and our shareholders and employees. We believe executing on our strategic vision will lead to consistent organic revenue growth over time. Remember, we've previously said that success will not happen overnight and progress will not be linear. While we are not at our destination yet of delivering steady results over the long term, we are beginning to see indications of real progress across areas of the business that we believe will eventually lead to a virtuous cycle. A world-class investment team continues to generate solid investment results versus benchmark and peers, positioning us well to deliver the best possible outcomes for our clients and their clients. Client retention and activity metrics are improving. As previously mentioned, our brand position is strengthening. In looking at financial metrics, our net management fee margin is roughly stable and a key differentiator for Janus Henderson in an industry experiencing relentless fee pressures. We are disciplined in expense management and investing in the business work strategically makes sense to do so, being disciplined with our expense base and the productivity of our technology, operations and other functional teams, in particular, it is also contributing to increased operating leverage in the business. A strong balance sheet and cash flow generation enable us to maintain capital return to shareholders while continuing to invest in the business for future growth. Organizationally, we've added external talent and promoted from within with a best athlete lens, attracting and retaining the best talent allowed to deliver for our clients and execute our strategy over the long term. Establishing and embedding our enhanced mission values and purpose across the organization over the last 15 months has allowed colleagues to move together with quiet confidence in the same direction. Finally, enacting an effective M&A strategy brings in highly experienced talent while creating expanded opportunities for colleagues and allows us to fill in capability gas in areas of the industry that are growing where clients give us the right to win. Finishing up on Slide 15. We are proud of and energized by the progress made this quarter, building on the results of past quarters. And while there is more work to do, we believe we are on the path to deliver consistent results over time. Investment performance is solid across all time periods versus benchmarks and peers. Net inflows were positive $1.7 billion, an almost 2% organic growth rate and reflect a 19% increase in gross sales compared to the prior year. It marks our second quarter of net inflows in the last six quarters and provides a tangible indication that our strategic plan is certainly starting to take hold. Adjusted diluted EPS increased 37% compared to last year, reflecting strong markets, investment performance, positive flows, expense management and increased productivity. Our strong balance sheet and financial results allow us to continue returning cash to shareholders through dividends and share buybacks while reinvesting in the business for future growth. We are executing against our strategic objectives, and I'd like to thank my teammates that Janus Henderson for putting in all the extra efforts. It is clearly, clearly starting to pay off. Our focus continues to be helping clients define and achieve superior financial outcomes and to deliver desired results for our clients, shareholders, employees and all our stakeholders. Let me now turn the call back over to the operator to take your questions.
Operator: Thank you. [Operator Instructions] Our first question goes from the line of Bill Katz with TD Securities. Your line is now open.
Bill Katz : Thank you very much. Good morning. Thank you for all the details. I'm just sort of intrigued by your discussion on the brand improvement across your platform, which is nice to see. Can you talk a little bit about as you step up the relative ranks of any statistical relevance you see in terms of the improvement for gross and/or net sale opportunities, whether it be on the retail intermediary side, institutional side and how that might compare maybe U.S. versus globally? Thank you.
Ali Dibadj : Hey, Bill. Thanks for the question. We are very pleased with the brand progress that we're making. You'd imagine that it's not a one-to-one correlation between brand rankings and getting flows in the door. But it's very clear that we have to be in the consideration set. And if your brand isn't known, if you're not up there in terms of the rankings, you won't be considered. That's both from an institutional perspective directly. That's also from a consultant perspective too, our partners as a consultant and for sure, for sure from intermediary view of advisers, right? A lot of what folks on the client side want to do is deliver for their clients with trusted brands, and that's something that we are building up here over time. Now, we are, just to be very clear, maniacal about our ROI as well. We have analytics around all of this stuff. We are very surgical in the way that we promote our brand. And the good news is we have a lot to say. We have a lot to say now about Janus Henderson. Janus Henderson is really special in terms of our investors that we have. We do client service like no one else and we want people to experience that, we want clients experience that. Our infrastructure, IT operations, everything else is reliable and trustworthy. So we have a lot to say. So we want to get our brand out there. It is working, and you're seeing it correlated, not one-to-one, not a formula, but correlated with our success of the business.
Bill Katz : Okay. Thank you. And just as a follow-up, maybe strategically toward the end of your comments, Ali, you talked about that only at the beginning on the M&A pipeline, which is active and alive and well. Maybe I'm paraphrasing a little bit there. Could you talk a little bit about where it's seasoning, what kind of things you're looking at? And then could you loop into that, just maybe an update on how the economics work with Privacore? Because I think there's been a lot of signings of late. And then how you're thinking about maybe buying in the second part of that platform in the second half of this year? Thank you.
Ali Dibadj : Sure. Thanks again for that question. So our view on M&A hasn't changed at all. We're going to continue to be client-led. We're going to look actively to buy, build or partner to support our strategy and to support our clients. We want to do everything we can to protect and grow, amplify and diversify our businesses and execute our strategy. I want to be clear though that M&A is not our strategy. It's not a strategy into itself. I think you may hear that from others. It's not ours. For us, it's a tool to deliver on our strategy. Okay, M&A timing is difficult to predict, obviously some transactions come and go. I will say that we are aware of everything that is out there in the marketplace and almost everything, really everything say for one that has actually transacted. We are very careful in the way we go about M&A. We look at performance of the teams. We look at the processes that they go through. We look at people, and I'll come back to that in a second. We look at the potential growth as well as, obviously, the financials and the price of it. I would say that 90% of where we triage is actually around the people and the culture. It's extraordinarily important to make sure that the culture and the people tie into our culture, which is so client-focused, so fundamentally focused in terms of understanding what we're investing in. And we want to partner with teams who want to grow, I want to leverage our global distribution footprint, our research skill set, our strong infrastructure to grow the businesses. So we've talked about some of the areas we're looking at. Obviously, what we look for is things that are not overlapping as much as possible with the businesses that we have trying to bring differentiated products to our clients in areas like private credit, areas like solutions, areas with quality biases, those types of things are a lot of areas that we're looking at. We'll continue to make sure that we're disciplined in bringing forth the right teams to deliver for our clients and their clients. As we have been with Tabula, with NBK Capital, with Privacore and all the way back to just a couple of years ago with our emerging market debt team. Roger, do you want to go through some of the Privacore details?
Roger Thompson : Yeah. Yeah, I mean, I guess, to start before we get into the accounting for it, we're really excited by the significant progress to date at Privacore Capital. They partnered with a premier almost $200 billion alternative asset manager. They completed a placement in the second quarter. It's a private placement. So we're unable to talk about specifics in terms of capital raised or who that partner is. And we've also previously talked about them partnering with a second firm, a tech investment firm, and they're also working with other alternative managers. Again, pretty sizable ones, $50 billion plus and have filed registration statements for two new alternative funds. So like I say, excited about the team they've assembled. They're in the market placing products. They failed to launch new products that includes interval and tender funds and continue to have high-quality conversations. We currently own 49%. So it is -- so the costs -- they are primarily cost at the moment. Those revenues starting to come through with that first fundraise, come through as NCI. We do have the option to purchase the other -- the other 51%, but that's still five or so months away. So a little early to talk about that now, we'll assess our options in due course.
Ali Dibadj : Just to add a little bit to remind folks of why Privacore is so exciting. And it sits at the nexus of clear needs in this industry. We have a set of clients, wirehouse clients, wealth clients who want access beyond just the big -- some folks who are reporting today, the Apollo, the Blackstone and the others, they want access beyond that to differentiate and also to make sure that they get the very best performance. So those large firms have great performance, but they're not always the best performance of some of these categories. That's what the wealth folks want. And then there are really strong investors. Roger mentioned a few and there's a long list of others that are in the pipeline for Privacore that have fantastic performance, but just don't have the scale even at $50 billion, even at $200 billion to get to that wealth channel. And that's where Privacore sits within those -- between those as a best-in-class open architecture driver of democratization of alternatives.
Operator: Thank you, Bill. Our next question comes from the line of Ken Worthington with JPMorgan. Your line is now open.
Ken Worthington : Hi, good morning. Thanks for taking the question. Want to dig into the ETF business and Tabula, given that, that's just closed. So maybe first, dig into how you see the non-U.S. ETF business growing. You mentioned you plan on launching new equity products. Can you give us some more color there? Are you thinking of going active, passive, factor-based? I think your U.S. side has been very creative. So how are you thinking about taking that creativity outside the U.S. And then maybe the second part is you've had amazing success with the U.S. fixed income ETFs. Can you discuss to what extent you can leverage the success or the learning you've had on the U.S. fixed income side to drive success scaling Tabula funds in Europe? Thanks.
Ali Dibadj : Thanks, Ken, for the questions. Let me start off with the ETF franchise. We are very proud of the progress we've been making there. The team has done a phenomenal job. It is now crossing, I'd say, about $19 billion ETFs AUM for the business. And what's really exciting is there are four ETFs that we have that are each above $1 billion in AUM. So it's really moving beyond just a few ETFs and becoming more broad. The momentum has been great and the momentum has been very aligned with our strategy. Remember, what we're doing is we're democratizing a set of capabilities that were addressable only by institutional clients and we're bringing that to a broader reach of clients. So we think that there's a continued enormous potential in the U.S. first to grow the ETF franchises. We've launched ETFs as of late. So back in Q4, we launched an ETF there called JSI. We've also then filed, you may see about a couple ETFs, emerging market debt ETF as an example, is one that we filed there. And so we think there is continued room to grow as we build our -- to use a word from the earlier answer brand in active ETFs in the U.S. Now shifting over to Europe and Tabula. We see the exact same patterns from an analytical perspective in Europe as we saw in the U.S. And that's why we want to go where the puck is going and partnered with Tabula, broaden Tabula in-house. They are an extraordinarily team. They already have great presence with their nine ETFs and $500 million of AUM in 15 different countries, 10 different trading venues and we see that as a fantastic platform to continue to grow the funds that they have and then add our own funds. To your very specific question, we do you expect fixed income and equities to be on those platforms as they will be in the U.S. as well and all in the active realm. We believe that we should be a need to be client-led and be agnostic to the vehicles. And so our differentiator is really the investment acumen that we put in a form that clients want to have contact with. Now the last point I'd say, Ken, is on Tabula. It is absolutely, yes, based in London, it's a European franchise right now. But what we're all seeing is that other regions, Latin America, Middle East, APAC, places we have presence are also looking for ETFs in USIP form. And Tabula allows us to do that as well. So think about it squarely in that amplify bucket of our three-pronged strategy. We're very pleased with the progress so far in our ETF franchise. We think with Tabula, you're right, just closing July 1, can help us grow that business even further.
Operator: Thank you, Ken. Our next question comes from the line of Dan Fannon with Jefferies. Your line is now open.
Dan Fannon : Great. Thank you. So I wanted to just expand upon some of the comments, just as you think about momentum in the business, the flow trend certainly in the second quarter coming in strong. I know you've talked in the past about not being linear, but can you just talk about where you're seeing the most improvement in gross sales and how you think that translates prospectively into the back half of the year?
Ali Dibadj : Sure. Thanks, Dan. It's difficult, obviously, to give projections because so many things are out of anyone's control, but we'll continue to control what we can control and continue to be client-led. That means continue to be focused on investment performance, on outstanding client service, on a robust infrastructure and executing on our strategy. Our strategy, as you've heard several times now, hasn't moved. Our Protect & Grow in core businesses. We're amplifying ranks, and we're diversifying where clients give us the right. And we like to think that we're seeing proof points, I think, this quarter and certainly run up to this quarter from other quarters are proof points that our strategy seems to be bearing fruit. You can look at that from an intermediary perspective, look at U.S. intermediaries to start and how that's expanding to other parts of the world intermediary, think about it as well from an institutional perspective. We're clearly seeing leading indicators on institutional side look positive, a number of meetings, a number of consultant discussions, a number of RFPs, perhaps this quarter as well, you can see some lagging indicators looking good too in terms of the flows in institutional. And we think that our strategy is bearing fruit from an organic perspective. We have seen market share continue to grow. That's been something not just this quarter, but for many, many quarters in a row. We think that we will eventually lead to organic growth over time. And that's before we talk about some of the inorganic capabilities, whether it be emerging market debt that we brought on board as a team with that, whether it be Privacore as a JV, whether it be Tabula, NBK and anything else around the corner. We think that we have real progress shown and hopefully on a path to grow organically consistently over time. And we certainly hope this quarter is viewed as an example of being in the right direction.
Roger Thompson : Just adding on to that, a little bit. Again, we talked about leveraging from the U.S. intermediary business. And obviously, we've seen some really great progress there over the last couple of years on both the gross and net side of the business. But that really is coming to bear in Europe, LatAm. We're positive in just about every country now in Continental Europe, positive in Latin America. We're positive in Asia, and we're positive in Australia. So the breadth of that is starting to come through. Again, we've got -- we've still got a lot of work to do. This isn't going to be a linear path, but the second quarter is a demonstration of the beginnings of the broadening of that flow and what we're seeing across the world. And obviously, we hope to continue that over time. But like I say, it's really a linear path.
Dan Fannon : Understood. That's helpful. And I guess just a follow-up there on the distribution side. U.S. institutions, I know it's been an area of focus for you, but obviously, legacy Janus that has not been an area of strength. Can you talk about where you are in the maturation of that opportunity? And you have the right team in place, you mentioned meetings and consultants. I guess if you can just put a little more context around where you are in the kind of evolution of that channel would be helpful.
Ali Dibadj : Sure. Remember, we had very positive flows in 2023 in institutional globally. And we said we were going to rebuild the pipeline. That's probably 12 or 18 months ago from now. And this quarter, we had over 10 distinct fundings, as we said earlier, $100 million to $400 million, a pop. I think that's demonstrating better efforts of broadening, our institutional client base is working. Some of that is brand, some of that is obviously investment performance. Some of that is client service. And importantly, it's bringing different capabilities to those institutional clients. So those fundings were completely different capabilities, completely different investment strategies. We believe also we're seeing -- you mentioned this, and we mentioned this, that the consultant relationships that we have are growing quite well as well. We're really seeing those relationships be enhanced over time, and we think that, that will continue to drive growth, again, perhaps not linearly, but drive growth for us. The leading indicators, as you mentioned, are good, but we're not going to count our chickens before they hatch, so to speak.
Dan Fannon : Thank you.
Operator: Thank you, Dan. Our next question comes from the line of Craig Siegenthaler with Bank of America. Your line is now open.
Craig Siegenthaler : Siegenthaler, it is a tough one to pronounce. Congrats on the positive flows.
Roger Thompson : Hey, Craig. Thanks.
Craig Siegenthaler : So a big part of that positive flow trajectory was the fixed income business. We're seeing strong momentum. How much of that is accelerating reallocations and duration extension, which we've been seeing more in the industry? And then what part of that would you attribute specifically to Janus' lineup especially with the big hit you've had with JAAA, the AAA CLO ETF continues to ramp?
Ali Dibadj : Thanks for the question. Let me just I can get that a little bit. First, from a broader fixed income perspective, we clearly are seeing interest from clients looking at Fixed income. I think the interest will be even greater when the curve changes its complexion and perhaps rates come down in the short term as well. We are very pleased with our fixed income business right now. The interesting thing is we're at Janus Henderson, not as well known for fixed income, and we see that as a very interesting long-term opportunity for us, especially if you look at our performance. So if you think of our performance on a 1, 3, 5, 10-year basis, we're 88%, 72%, 83%, 92% of our AUM outperformed benchmark on that. So our performance is extraordinarily good. And we have a broad palette of opportunities for clients to take advantage of. I don't know if you want income, we have multi-asset credit, we have multi-sector income. Those things are growing for us. Certainly, as you mentioned, if you want securitize, we have it in direct form to institutional, but we also have it in ETF form. JAAA is an example on that, plus the JMBS, JSI, JBBB is growing for us as well. If you want short term, we certainly have short term in the U.S., and we haven't met ETF form. Vanilla is an example of that or the NLA. We have regional strategies, Australia, U.K., U.S. the emerging market debt that we talked about. So we think we're actually very well positioned for the current and to your question, Craig, likely even more future interest in fixed income as our clients want that business. Now beyond that from U.S. intermediary perspective and a growth view, we do think that we have more opportunity to bring that kind of expertise that we have on the securitized side globally as well. But that's true for other areas of our business in fixed income, too. So we feel quite positive about the momentum there. We think the broader industry momentum will support us as well. And given the performance, given the client service that we brought to bear as well as different vehicles we can bring to our clients. Again, it might not be linear, but we think we have the right set of categories to deliver for our clients.
Craig Siegenthaler : Thank you, Ali. Just for my follow-up, how does the institutional new win and also redemption pipeline look like heading into 3Q in the second half? Are there any lumpy inflows or outflows in your radar? And also, have you been focused on adding new talent, which could attract more flows into the institutional channel, too?
Roger Thompson : Yeah. Let me give you the first part on the sort of pipeline. We've seen the pipeline is developing. It's doing what we said we wanted to do. We told you that we needed to rebuild it. And we told you it would take time. That's starting to come through as you've seen this quarter, 10 fundings of $100 million to $400 million. We now need to replete and repeat over time and time again. That's going to take time, as we've said. But we're seeing the pipeline develop. But -- and in the short run, there's nothing to tell you about that's massive either on the or the outside. Ali, do you want to pick up on people?
Ali Dibadj : Yeah. On the talent side, we are always looking for talent to bring to bear to that part and any part of our business. And so we're very much on the lookout for that, both from an acquisition perspective as well as from just an organic hiring perspective. So the short answer is, yes, we're always looking for account to bring on board, including that business.
Craig Siegenthaler : Thank you.
Operator: Thank you, Craig. Our next question comes from the line of Michael Cyprys with Morgan Stanley. Your line is now open.
Michael Cyprys : Great. Thank you. Good morning. Just wanted to ask another question here just on Privacore. If this is successful looking out three to five years, what does that look like? And what might the contribution to bottom-line earnings at Janus be over time? How meaningful can that be? Thank you.
Ali Dibadj : Thanks, Michael. So it's difficult to say what the end contribution will be and the opportunity set that will accrue to Janus Henderson. We can think very broadly, obviously, about what's going on in the industry. And when we're finding over and over and over again, as I mentioned a moment ago, is that there is this clear need in the market for more and more investment people in the alternative world to reach the wealth channels. And Privacore sits right at the nexus of that democratization, again, being an open architecture, best-in-class selection and product creator for those alternatives delivering to wealth. Right now, in the wealth channel, alternatives are nominal, call it, less than 5% of exposure to clients and the end clients and people target something like 15% to 20% of that exposure going to alternatives. That in and of itself is trillions and trillions of dollars. I heard some of our peers, competitors talk about $80 trillion opportunity on a global basis and several trillion dollars in the U.S. When you get to numbers like that, it's big. We would love to be a part of that. We think Privacore is clearly putting our best foot forward in terms of becoming a real part of that and not just a part of it, but driving success in that industry in that industry change. So it could be big. We'd like it to be big. We're continuing to support. Privacore to be big, and the proof points so far, as Roger went through a moment ago, seem like we're on the right track with Privacore. So difficult to put some numbers around it, given you're talking about such big TAMs but we're certainly in the mix, and we want to continue to do so with Privacore.
Michael Cyprys : Okay. Great. And then just a follow-up question around capital allocation and balance sheet. Clearly, strong balance sheet, net cash position presents a lot of optionality for you. I guess, how do you think over time, how to optimize the usage of the balance sheet. Is the particular leverage target or thinking about that over time as you look to sort of optimize and operate that in the most efficient way possible for the firm? And then more broadly, how should we be thinking about the pace of buybacks over the next remainder of the year into next year as well?
Roger Thompson : Thanks, Mike. It's Roger. Yeah, I think our capital profile allows us to invest in the business. That's the most important thing, both organically and inorganically as well as return capital shareholders and we showed that in the first half of '24. Our dividend is at the upper end of peer yield? And the buyback is something that has been pretty consistent. We were bought back over 20% of share over the last few years. So we've shown that, that is something that we're committed to. The buyback has got about another $150 million to go. As we currently stand, we'd expect to complete that. And then yes, so our capital philosophy is unchanged. We will maintain capital for regulatory needs. We will invest in the business, whether that be through seed capital, through organic growth or inorganic things, and then we will return capital to shareholders on top of that. So nothing has changed there, and you would expect us to complete the buyback.
Michael Cyprys : Thank you.
Operator: Thank you, Michael. Our next comes from the line of John Dunn with Evercore. Your line is now open.
John Dunn : Thank you. I wanted to check in on the balance fund. It's now been two quarters of improved performance. In the past, how long has it taken sort of improved performance to show up in inflows in that fund.
Ali Dibadj : Thanks, John. Thanks for noticing that. The balance fund is really one of our strongest and install work funds that we have at the firm. It's by great investment managers, and it really is a testament to our broad skill set because we're extraordinarily strong in the equity side, as you know, and to what I was saying before a moment ago, kind of unfounded jewel of ours is the fixed income business given the performance. And you put that together in a balance fund is something that we've been doing for decades and decades. That's a testament to a driver to the success that we've had there. In this marketplace where people are interested in looking at the markets but want to still have a ballast of something that's more, I guess, stable from a fixed income perspective and fixed income is delivering a return given the cost of capital and the yield is where it is. Balance seems to be becoming quite interesting for our client base. Now you couple that interest with exactly as you mentioned, sorry to say this, ridiculously strong performance over many number of years from both fixed income and equities team. We're seeing a lot of interest in the balanced fund for us. We believe, subscale in that business. and we believe we deliver extraordinarily good client value by being in that fund. So you're right, we're seeing improvements. I don't know if I have a great kind of exact number about the timing. It's not overnight but overtime performance like we've delivered consistently over a very long period of time, accessibility of the portfolio managers, broader client service does deliver improved flow performance of that.
Roger Thompson : And just while Ali has been talking, I've been desperately trying to look back at previous quarters, and we've seen the outflow is -- sorry, yes, the outflow is improving, i.e. it's getting smaller. It's got smaller this quarter over last quarter. That's better than it was and last quarter was better than the quarter before. We've also got -- we're also seeing some new interest. We've got a great new client in Japan that have just started -- just launched that. We've already raised a couple of hundred million dollars in Japan in a month or so. So it's an improving trend. We all know there's a bit of a lag between performance and flow. It isn't, I guess, a formula, but we're seeing the improvement, and we're also seeing new clients investing in the strategy, which is great to see.
John Dunn : Got it. And then could you give us a little more color on what specific products are driving the improvement in EMEA and LatAm intermediary?
Ali Dibadj : Yeah. Let me start, and then I'll hand over to Roger to go through it. We are clearly seeing the expansion of some experience that we have in the U.S. intermediary flowing into EMEA and LatAm. We're taking the learnings, whether it be about making sure you have the right product set, make sure we have the right people, incentivizing people for growth, ensuring that we are promoting and marketing the products quite strongly. We have a story to tell. That's very clear, both on the investment side and the firm side. And then really importantly, ensuring we have productivity at the right level. That's not just the number of meetings. That's the right number of meetings and really using data behind that. So we're using a lot of those same concepts that we used in the U.S. channels to bring it over to EMEA and LatAm. Remember with about that, and it seems like it's being out. Now in EMEA, we've talked about the UK being a place we continue to have to work on as opposed to Continental, where things are looking significantly better, and we hope that, that continues to deliver as well. Expanding beyond that, Middle East looks like there's some real progress going on there. And then Latin America, really with some of our investments in Mexico. From a regional perspective, things look strong. Broadly speaking, and I'll hand it over to Roger, it's been strength of things like balance from your question earlier, but also our European equities platform has been extremely strong. Our fixed income platform looks quite good. And all this, even before we bring Tabula squarely online to grow that business. Roger, you can give more comments.
Roger Thompson : No, I think you've gone most of it. It's great to see European equity, which has been -- which is an area where we have fantastic teams and fantastic performance being in inflow. We're taking market share there. So it's really great to see it flow into European equity in a number of different strategies, both large cap and small cap, but also thematics global technology, for example, and some sustainable equity products. So it's a pretty broad brush. But like I say, particularly pleasing to see European equity seeing such strong growth, also absolute return seeing flows as well for the first time in a while. So pleasing there.
John Dunn : Thanks very much.
Operator: Thank you, John. Our last question will go to the line of Adam Beatty with UBS. Your line is now open.
Adam Beatty : Hi, thank you. And good morning. First, just a quick follow-up on the institutional channel. It looks like the redemptions have pretty much stabilized there, and the swing factor is really improving gross sales, which you mentioned some progress on. So just wondering on the redemption side, do you feel there's still some opportunity there? Or are we kind of at a run rate level, given the improved performance and what have you? Thank you.
Ali Dibadj : Adam, thanks for the question. Look, it is very tough to tell. A lot of what happens in the institutional world is reallocations among asset classes and you kind of get the downstream effects of that. What I will say is that the investment performance is obviously something institutional investors look to first and foremost when they look at reallocating. And our investment performance as you know, is consistently quite strong. So we don't really know it's going to happen. we don't see anything on the horizon at this point, but our investment performance certainly is a protection to that.
Adam Beatty : Appreciate that, Ali. And then finally, just on -- one of your peers talk about solutions and managed accounts as kind of a way of bringing the range of products toward the end client. So just wanted to get thoughts on where Janus stands there, where it ranks in your price stack and what the next steps might be. Thanks a lot.
Ali Dibadj : I think the industry is certainly looking more and more at outcome orientation as opposed to specific strategies. There's still a real place for those 6 strategies, and we have a lot of those. But we are actually facing off to our clients as providing solutions to their problems. That's about our client service lens that we bring to bear, bringing the whole firm to deliver on a client's needs. Within that, account solutions and managed solutions is certainly something that we're seeing more interest in. And it is a very high priority for us. In fact, it's a part of our strategy, it fits under the Amplify bucket of our strategy. And we've pulled together a team that does solutions for us. Interestingly, we had pockets of it across the firm, and we brought that together under a great leader and a great team to drive the solutions business for us. We are still to be fair nascent. We could certainly go bigger in that area. It's something that we plan to invest in organically and hopefully inorganically as well to grow that and deliver on our client needs. Very much to your point, Adam, it is what clients are looking for. And we are very focused, obviously, as you know, on being client-led. Solutions is something that we believe we can bring to bear. We have a broad base of skill sets to funnel into those solutions. So we are very attractive for our clients. We just have to build that kind of nexus of solution to be able to the skill sets and quantity of skill set to be able to deliver that for our clients. So yes, it is something we're very, very keenly looking at.
Adam Beatty : Sounds that make sense. Thank you very much.
Operator: Thank you, Adam. There are no other questions registered. So I'll pass the conference back over to Ali for closing remarks.
Ali Dibadj: Okay. Thanks, Megan. I want to thank, most importantly, each and every employee at Janus Henderson, whether they are investments or client service or an IT operations, legal and compliance and risk and finance, NBK Capital, all of our teammates at Janus Henderson without whom, we certainly could not have delivered these results and could not have continued to be on the right trajectory here. The hard work that everybody is delivering and living our values and executing our strategy. We hope to continue to deliver for our clients and their clients, our shareholders, our employees and all other stakeholders. So thanks for listening to this call, and bye for now.
Operator: That concludes today's conference call. Thank you for your participation. I hope you have a wonderful rest of your day.